Operator: Good morning and welcome to the Weingarten Realty Inc. Fourth Quarter 2018 Earnings Call for February 21, 2019. My name is Brandon and I'll be your operator for today. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session [Operator Instructions]. Please note, this conference is being recorded. And I will now turn it over to Michelle Wiggs. Michelle, you may begin.
Michelle Wiggs: Good morning and welcome to our fourth quarter 2018 conference call. Joining me today is Drew Alexander, Stanford Alexander, Johnny Hendrix, Steve Richter and Joe Shafer. As a reminder, certain statements made during the course of this call are forward-looking statements within the meaning of the Private Securities Litigation Reform Act. These statements are based upon management's current expectations and are subject to uncertainty and changes in circumstances. Actual results could differ materially from those projected in such forward-looking statements due to a variety of factors. More information about these factors is contained in the company's SEC filings. Also, during this conference call, management may make reference to certain non-GAAP financial measures, such as funds from operations, or FFO, both core and NAREIT, which we believe help analysts and investors to better understand Weingarten's operating results. Reconciliation to these non-GAAP financial measures is available on our supplemental information package located under the Investor Relations tab of our website. I will now turn the call over to Drew Alexander.
Andrew Alexander: Thank you, Michelle. Good morning. And thanks to all of you for joining us. I would like to begin with the announcement that Stanford Alexander has been elected Chairman Emeritus. He will remain an important part of our team and we greatly value his advice. I have been elected Chairman and will continue in my role as President and CEO. I'm pleased to announce another good quarter, a fitting close to a very successful year, executing on the strategy we've articulated over the last few years. Same-property NOI growth remained strong and rental rate increases were outstanding. Our portfolio is stronger than ever. And consumers continue to frequent these great centers. We announced, in early January, our 2018 disposition program closed strong, with $635 million of properties sold. Over the last two years, we've taken advantage of the arbitrage between public and private markets, selling $1 billion of property, about 15% of our portfolio. Selling these properties, generally towards the bottom of our portfolio, makes our high quality portfolio even stronger. Our average TAP scores have improved, the demographics of the portfolio are significantly better, with our average household income at $93,000, and we've lowered our exposure to power centers. We've exited multiple states through the sale of numerous assets in secondary and tertiary markets and have drastically reduced our exposure to watchlist tenants. As a result of these dispositions, we paid our shareholders special dividends totaling $280 million. At the same time, we've dramatically strengthened our balance sheet. We have tremendous flexibility to take advantage of market opportunities. We can fund our new development, redevelopment and acquisitions, as well as consider a modest share buyback program, while maintaining our strong balance sheet. This disposition program has been dilutive in the short term. We believe the earnings dilution is worthwhile, given the improved quality of the portfolio, the increased reliability of our income stream and our strong financial position, given the ever-changing retail environment. This program has created significant shareholder value. We expect our disposition volumes to be much less in 2019, but we'll continue to monitor the market and adjust our strategy appropriately. With respect to our new development activities, all are progressing nicely. At both West Alex and Centro Arlington in DC, we're scheduled to begin residential pre-leasing activities in the latter half of the year and expect to have a modest amount of revenue online before year-end. At Centro Arlington, we expect Harris Teeter to open around year-end 2019. We're excited as both projects will benefit from their close proximity to Amazon HQ2 and the strong Northern Virginia market. In Seattle, we are stabilizing the Whittaker. Whole Foods is paying rent and expect to open later this year. We finished strong with a stabilized ROI of 6.8%, about 20 basis points above plan. The Driscoll at River Oaks is progressing nicely. Construction so far is ahead of plan. The 30-story luxury high rise at our prominent River Oaks Center here in Houston will include over 300 residential units with around 10,000 square feet of ground floor retail space and the total project cost will approximate $150 million. We have many other redevelopment projects in the pipeline that will provide excellent returns on the invested capital and we continue to work those with great focus. Great progress on development and a terrific quarter and year. Steve, the financials?
Stephen Richter: Thanks, Drew. Good morning, everyone. As to our operating results, core FFO for the quarter ended December 31, 2018 was $0.55 per share, down from $0.61 in the prior year. For the quarter, we estimate our disposition program cost us $0.08 per share. This was offset by increases in net operating income from our existing portfolio, due primarily to rental rate increases, new development and redevelopment completions, and reduced interest expense from lower levels of debt outstanding due to our disposition program. For the year, core FFO was $2.28 per share for 2018 compared to $2.45 in 2017. Again, we realized increases in NOI from the existing portfolio, new developments, redevelopment, as well as reduced interest expense. The full year also benefited from $0.01 per share reduced in G&A expenses due to reduced compensation cost and professional fees. These increases were offset by our disposition program, which cost us around $0.29 per share for the year. I also wanted to point out that, while it doesn't affect the year-over-year comparison, G&A expenses for the fourth quarter were higher than the third quarter by $0.01. This was due to the truing up of our restricted share accrual that cost us around $0.02. The significant drop in our share price at the end of 2018 resulted in more shares being granted in accordance with our long-term incentive program, thus the increase in expense. This increase in Q4 was offset by decreased expense from assets held in our deferred compensation program. A reconciliation of net income to NAREIT FFO and core FFO is included in our press release. Our balance sheet is stronger than ever, with further deleveraging from our disposition program. We paid a special dividend in December of $1.40 per share or $180 million due to the significant gains from our dispositions. The remainder of the proceeds were used to pay down debt. Our net debt to core EBITDA was a strong 5 times at year-end and our debt service coverage ratio was 4.9 times, supported by a well-laddered maturity schedule that has no significant maturities until 2022. As to guidance for 2019, net income is expected to be in the range of $1.77 to $1.89 per diluted share. We expect that NAREIT FFO and core FFO will be in the range of $2.09 to $2.17 per share. This assumes acquisitions of $50 million to $150 million, primarily in the latter half of the year; new development and redevelopment investment in the range of $175 million to $225 million; and dispositions in the range of $250 million to $350 million. This level of dispositions will likely result in the payment of a special dividend in 2019, albeit considerably less than 2018. As to the existing portfolio, same-property NOI with redevelopment is expected to be in the range of 2% to 3%. Let me point out a few contributing factors embedded in our guidance assumptions. First, on dispositions, both the timing and volume can significantly affect FFO as we experienced last year. Our core FFO guidance includes the full-year dilution of the 2018 dispositions of about $0.18 per share of NOI and an estimated partial-year dilution of $0.07 to $0.13 of NOI for our 2019 dispositions. Secondly, the implementation of a new leasing standard will increase general and administrative costs by $0.07 to $0.08 per share in 2019, resulting in a going-forward G&A expense of $8 million to $9 million per quarter. Third, since we will own the residential portion of our two DC development properties, we will incur net expenses this year of around $0.01 a share as we start the pre-leasing process. And fourth, regarding bad debt reserves and our space-by-space budget for 2019, we have fallout for those tenants we don't think will renew or will fail. In addition to this lost rent, we have a topside reserve to cover the unexpected. Our budget for 2019, between budgeted fallout and topside reserves, is very similar to last year and to our historical averages for bad debt over the last number of years. All the details of our guidance are included on page 10 of our supplemental, along with a roll forward of our 2018 FFO to our 2019 FFO guidance. Johnny?
Johnny Hendrix: Thanks, Steve. We had a great fourth quarter and we're looking forward to 2019. During the quarter, the company increased same-property NOI 3.4%, executed 181 new leases and renewals for $15.1 million in annualized base minimum rent, produced rent growth of 37% for new leases, maintained a strong occupancy of 94.4% and continued to produce very strong risk-adjusted returns on our redevelopments. Weingarten's transformed portfolio has proven resilient even in the face of strong headwinds. As of this call, we've leased most or all of three of the four closed Toys"R"Us spaces, which will create significant increases in net asset value for our shareholders. We've signed leases with Burlington at Bunker Hill and Ross at Cypress Station, both here in Houston. We expect Ross and Burlington to commence late this year. At Palms Town & Country, near Miami, Florida, we signed a five-year lease with Baptist Health South Florida Hospital. That lease will commence in the second quarter. The hospital lease is an interim deal that will provide us time to work through a major redevelopment of the tract. We ultimately expect a vertical redevelopment incorporating Health South as an anchor tenant. Most of the other known bankruptcies have been resolved. It looks like Payless ShoeSource will be closing all its locations. We have nine Payless leases, representing 0.14% of ABR and we expect those will be closed in May. Our guidance does not include rent beyond that date. National Stores, Fallas Paredes and Factory 2-U terminated one of the four leases we had with them. Mattress Firm terminated 3 of their 16 leases. As for Sears, we're pleased we only have two Kmarts. We believe the store at Six Forks in Raleigh will remain open. The store at Prospector's Plaza in Placerville, California is already closed and ESL is marketing the designation rights for that lease. We should know the results of their efforts soon. Our guidance does not include any rent for the space after the first quarter of 2019. As Steve mentioned, we expect our same-property NOI to be between 2% and 3% for 2019. While there is always risk, we have good visibility of the components. We expect contractual rent steps will contribute increases between 1% and 2%. Commencement of leases will contribute another 1% to 2%. Fallouts will offset some of this to result in our same-property NOI 2% to 3%. Our business plan does include unexpected fallouts and bankruptcies, but even if someone filed soon, we would expect to receive most of the rent in 2019. We're also in good shape with our renewals. 60% of our 2019 renewals are complete. As I mentioned earlier, our redevelopments are progressing very nicely. The two large shopping center redevelopments are mostly complete. Sprouts opened in Winter Park, Florida and we've completed leasing all of the 10,000 square feet of shop space we added. Sprouts also opened at Sunset 19, completing an incredible remerchandising for the center that has spanned several years. We relocated Bed, Bath & Beyond, added Hobby Lobby, Sprouts, DSW, Cost Plus, Kirkland's, Carter's and Five Below. We also added 12,000 square feet of new shop buildings, a great outcome for our shareholders. Excluding River Oaks, the company currently has 15 centers under redevelopment and we expect to invest $90 million with an overall return around 10%. We did not buy any shopping centers during the fourth quarter, but we do have a couple of projects we're seriously pursuing. We continue to search for great assets that will be accretive to our shareholders. We've observed very little change in pricing over the last several months. Core assets continue to trade for 4.5% to 5.5% in coastal markets and 5% to 6% in other primary markets. Power centers seem to have a wider trading range, 200 basis points to 300 basis points higher, depending on tenancy. Drew?
Andrew Alexander: Thanks, Johnny. Our job is to position the company to maximize the long-term value for our shareholders and we remain focused on that goal. We will continue to invest capital on those growth opportunities that make sense from a risk-reward perspective, especially redevelopments. We'll be opportunistic on dispositions, but we expect 2019 will be significantly less than 2018 and we're always focused on leasing space in our centers to the right users. Redevelopment on our strong pipeline of signed, but not commenced, leases will provide some nice tailwinds for 2019 same-property NOI growth. Our strong balance sheet continues to improve and we're well-positioned to fund our future capital requirements, while still maintaining the dry powder necessary to react to other growth opportunities when they arise. Great people, great properties and a great platform equals great results. I thank you all for joining the call today and for your continued interest in Weingarten. Operator, we'd now be happy to take questions.
Operator: [Operator Instructions]. And from Citi, we have Christy McElroy. Please go ahead.
Christy McElroy: Hi. Good morning, everyone. Just trying to get to the disposition dilution in your guidance. As you talked about $0.10 at the midpoint, I think is a little bit heavier than we would have expected, even if the volume is relatively front loaded. Can you just talk about sort of the timing that you are assuming and the cap rate? I think you were selling at 7.3% this year – or last year. Just maybe a sense for kind of the assumptions that are going into that dilution number.
Andrew Alexander: Sure, Christy. Good morning. It's Drew. I think I'll take it and then let Steve and maybe even Joe, if he wants, get a little more granular on the guidance. So, it's basically something that we tried to articulate that it's very opportunistic. So, the exact timing is a little unclear at this point and, likewise, produces a bit of a range. As to the cap rates, we forecast the same sort of middle-7s that we had last year. That can vary a lot quarter to quarter. We're also working on some land that is generally looked at differently and it's not as much money, but it is helpful. So, that's sort of the broad brush. Steve, you want to get into more of the modeling in the guidance or…?
Stephen Richter: Christy, good morning. This is Steve. I would say that when you get to what we budgeted, we're guessing as to timing and volume. So, the wider range is really there to protect us, so to speak, from missing in terms of when things happen. We have some stuff under contract today. We don't know whether those will close and we have a lot of property out there on the market. So, it's a guess to some extent.
Johnny Hendrix: And we're also being very opportunistic about it. We had a large deal, was under contract that we had a retrade that we thought was excessive that we chose not to accept. So, again, we're being opportunistic. We don't have to sell anything. But if we're getting a good price for things towards the bottom, we think it makes sense. So, we tried to outline the range, which is, as I said, a function of both the volume and the timing and we'll certainly know more as the year goes on.
Joe Shafer: And, Christy, keep in mind that…
Christy McElroy: Go ahead.
Joe Shafer: I just wanted to add, keep in mind that we're sitting in cash now too. We're not in a revolver. So, when you look at a spread, it's a pretty low interest income on the other end.
Christy McElroy: Yeah. That's what I was sort of going to ask about because, obviously, there's the use of proceeds factor and there are some acquisitions, I think, that you've baked in there, but a lot of it's also cash and that's sort of sitting there waiting to be put into development, which you're not earning income on yet. So, there's the dilution there. Okay, I think I sort of get it.
Stephen Richter: You're exactly right. That's part of the – the long-term look is that there is a significant development spend as we go through the year at River Oaks and the two projects in DC. But for 2020, there's not a lot of revenue there. So, you're exactly right.
Christy McElroy: Okay. And then, just on the $0.01 of drag from the two DC projects, I apologize if I missed this in the opening remarks, but is this the sort of the resi component that you need to start that are sort of in lease-up and you need to start expensing interest and other costs that have been capitalized during project time? What's sort of driving that drag?
Stephen Richter: You're exactly right. It's the residential leasing which is expensed, which is more of the on-site leasing people who aren't being capitalized because they haven't been hired yet, but as we get toward the end of the year, they will be because we'll start leasing the project and expensing that. So, I think it's a good thing that we've been working on these projects a long time and we're starting to see some revenue, albeit we will have a little expense associated with the on-site managers, on-site leasing people that will be expensed before we have sufficient revenue to cover it.
Andrew Alexander: Christy, I would just add one other thing and that is that these are mixed use development, as you well know. And so, you'd have to bring on some of the common area cost earlier than you typically would in a straight retail project that would basically open or commence when the anchors open. So, there's a little bit of just the common area cost that's also going to commence and, obviously, there's not any retailers open to pass that through to.
Christy McElroy: Is there a delay in the expensing of the interest cost or does that all come on as soon as you open?
Stephen Richter: No, that will be capitalized. And the way in which, though, that ultimately that gets – when we stop capitalizing that interest, it's somewhat tied to the way that we deliver the project over time and that's subject to when we get certificates of occupancy for the project.
Christy McElroy: Okay, thank you.
Andrew Alexander: Thank you.
Operator: And from Scotiabank, we have Greg McGinniss. Please go ahead.
Greg McGinniss: Hey, good morning. Moving back to dispositions for a minute. Drew, could you just give some more details on your comment about monitoring the market and adjusting disposition strategy accordingly? I'm trying to understand what makes you feel the $250 million to $350 million is the appropriate range today? And what would have to change for that range to be adjusted? Is there potential for dispositions to end the year $200 million higher than the middle of the range, similar to 2018?
Andrew Alexander: Good morning, Greg. I will do my best to articulate without totally repeating myself. But it is something that, as I said, we're being opportunistic. We're taking advantage of the arbitrage opportunity between being able to sell the bottom portion of our portfolio right at NAV when the stock is at still some amount of discount to NAV. We appreciate that has some short-term pain, but we think it has long-term gain. As we see things with retrades and other changes or pricing that, for some reason, doesn't look right to us, we don't feel the need that we have to do anything. We've only sold one property so far this year, about $24 million. As I mentioned, we had something fallout. So, I think the range is a good one. Is there a chance for outside the range on either side? Yeah, of course, there is, because we're again being opportunistic. But we're looking at every center where we have a big proprietary model that grades everything, looks at all the different risk factors and we're always working on a lot more than we expect to and certainly way, way more than we need to do. So, it is something that when it comes to doing the right long-term things, it's not always pleasant in the short term, I understand. But it is opportunistic and we'll be selective about it.
Stephen Richter: I might just add one thing on this one as well, and that is that, again, given that we have that opportunistic approach, we have a lot of property on the market and most of our transactions generally range in the $20 million to 40-kind-of-million dollars. But if you wind up with one big transaction, and we have some larger centers, that's $100 million, that's on a $300 million kind of range, that's significant. So, again, it's being opportunistic in which ones we sell and the mix could wind up being over or under.
Greg McGinniss: Okay. And I know you've got nothing held for sale on the balance sheet right now. But, Steve, as you just mentioned, how much are you marketing on the market right now?
Andrew Alexander: Comfortably over what we need to to sell.
Greg McGinniss: Okay, thanks. And then, Johnny, just a question for you. Despite the shrinking portfolio over the last couple of years, recurring CapEx has actually been trending up. Is there anything we should be reading into that growth or can you give us some details why it's recurring? And also, what should we be thinking about that recurring CapEx spend in 2019, especially tenant finish?
Johnny Hendrix: Yeah. Greg, good morning. I don't think there is a lot to read into the numbers. Obviously, the boxes have some negotiating leverage today that is more powerful than it has been in past years. And costs are going up, construction costs overall. I think most of the increases would be related to re-leasing those boxes.
Greg McGinniss: Okay. So, would you expect a similar level then year-over-year here?
Johnny Hendrix: Yes.
Greg McGinniss: Okay, thank you.
Johnny Hendrix: Thanks.
Operator: From Bank of America, we have Craig Schmidt. Please go ahead.
Craig Schmidt: Good morning. I am just wondering, how active are you on the buy online, pick up in stores and which retailers are the most active in terms of trying to roll that out and where do you think you're going to be in terms of number of centers having that access in, say, two years' time?
Andrew Alexander: Good morning, Craig. It's Drew. I might give you the big picture and maybe Johnny can chime in if he wants. So, we're seeing it most significantly in our portfolio in the supermarkets. And I think basically almost every chain we're working with is working on it at some point. So, certainly, Walmart, Kroger, HEB, we've taken the long-term view and worked with them for the various click/pick facilities in the common area. It seems a little slower with the Rosses and the Marshalls. You may be more current on where that is. I personally, Craig, think long-term it will be a very, very important thing because I still think that last mile delivery is very expensive and right now it's basically given away. And as you know, there's a lot of benefits to the traffic being driven that if you're going to subsidize, you should subsidize buy online/pickup in store to get that consumer to buy other things. And then, same thing with returns at store. So, I think those are both very powerful to our convenient locations. Anything to add Johnny?
Johnny Hendrix: Yeah. We're probably – close to 50% of our supermarkets today, have some sort of buy online/pickup in store or come by and they'll bring it out to you. We are super-excited by – the recent report by Walmart. I think it really highlights where we think the business is going, and that is this omnichannel model that people will continue to come to our shopping centers and continue to do business with us, driving our shop tenant space. So, we're excited about the future and kind of what we have in front of us.
Craig Schmidt: Great. Thanks.
Andrew Alexander: Thank you.
Operator: From JP Morgan, we have Michael Mueller. Please go ahead.
Michael Mueller: Yeah, hi. In terms of same-store occupancy, it looks like it ended the year at 93% flat and your total occupancy was 92.4%. Just curious, where do you see those metrics ending 2019?
Johnny Hendrix: They're going to bounce – this is Johnny. They're going to bounce around a little bit. It's possible, occupancy trends down a little bit in the beginning of the year – and really, that's what we have modeled – and then goes back up probably 50 basis points or 60 basis points ahead of where we are today. My guess is that that bulge of tenants who are signed and not commenced will be about the same as it is right now, kind of trending down through the rest of the year, probably somewhere around 150 is about normal and a lot of the same-store NOI growth that we have is going to be for those tenants that are commencing.
Michael Mueller: Okay. So, when you said 50 basis points to 60 basis points, you were saying by year-end, you think, that that level could be 50 basis points to 60 basis points higher when all – when everything is said and done?
Johnny Hendrix: Yes.
Michael Mueller: Okay. That was it. Thank you.
Operator: [Operator Instructions]. From Capital One Securities, we have Chris Lucas. Please go ahead.
Christopher Lucas: Yeah. Hi, guys. Just a couple of quick questions for you. Just on the disposition pool that you put out into the marketplace at this point, how did you assemble that? What were the criteria that you used to assemble that pool?
Andrew Alexander: Good morning, Chris. Drew. It's one of those things, as you know, I spend a lot of time on personally to sort of help Johnny out. But Johnny and I and his team, the various DLs through the region, like Lee Brody, who I know you know in Atlanta who handles the DC stuff, it's a very collaborative process. Our market research team grades all the properties, we look at the TAP scores, the demos, watchlist tenants, the map, trying to look at our power center exposures, look at the proximity to our regional offices, and it's not like a formal algorithm that you plug it into a computer, but we evaluate all those things, again, consulting with the boots on the ground. And then, as I mentioned before, we always work on a whole lot more than we ever intend to think about selling. So, we have a lot of flexibility to be opportunistic and take advantage of the arbitrage when we think the pricing is good. So, it's a real hands-on involved process, looking at a lot of criteria, but with a lot of local real estate judgment and tenant quality judgment as well.
Christopher Lucas: So, I guess, maybe a better question would be, just in terms of the geographies that you've been exiting, have you fully exited the markets you want to be out of or are there still things that are part of the pool that are geographically driven versus, say, other factors?
Andrew Alexander: We're pretty close to. We've got, I think, one center left in Kentucky, one in Arkansas, one in Utah that we're working on. Nothing significant from a big picture geography perspective. Then you get into some of the things that are a little more outlying. The property that we sold this year is a great center, strong Harris Teeter in North Carolina, but it's in one of the more coastal communities, so it's a couple of hours away from our Raleigh office in a little more of a not-too-dense population. And we were able to sell it at a very attractive cap rate as to how it was valued on Main Street versus how it would be valued on Wall Street. So, there's the couple of states I mentioned that we still have a little work to do and then there is that honing to deal with things that are a little bit not quite major metros.
Christopher Lucas: Okay. Thanks, Drew. Appreciate that. And then, Steve, just on the same-store NOI guidance that you've provided with redevelopment, is the straight same-store NOI, excluding redevelopment, any different or how should we be thinking about that?
Stephen Richter: Yeah. Good morning, Chris. We really feel that the best metric for same-store NOI is including or with redevelopment because the redevelopment process has been historically, and will continue to be, a significant part of our strategy going forward. So, generally, if you look, over time, it's around 50 basis points of difference between the two. And, in fact, for 2019, it is around 2% for same-store NOI without redevelopment. So, it's pretty consistent there.
Christopher Lucas: Great. Thank you. And that's all I have this morning.
Operator: [Operator Instructions]. Okay, looks like no further questions at this time. Drew, I'll turn it back to you for closing.
Andrew Alexander: Thank you, Brandon. Well, we'll be around all day if there is any other questions. We look forward to seeing many of you at some of the upcoming conferences. And we really appreciate your interest in Weingarten. Thank you all very much.
Operator: Thank you. Ladies and gentlemen, this concludes today's conference. Thank you for joining. You may now disconnect.